Operator: Good day, ladies and gentlemen, and welcome to the ABM Industries Second Quarter Fiscal 2013 Conference Call. [Operator Instructions] As a reminder, today's conference call is being recorded. I'd now like to turn the conference over to your host, Mr. Henrik Slipsager, President and CEO. Please go ahead, sir.
Henrik C. Slipsager: Thank you. Joining me today on the call are Jim Lusk, Executive Vice President and Chief Financial Officer; Tracy Price, Executive VP; and Sarah McConnell, our Senior VP and General Counsel. Unfortunately, Jim McClure is unable to attend due to a family matter. Today, I'll provide an overview of the 2013 second quarter that ended April 30. Jim Lusk will discuss the details of our financial results. In Jim McClure's absence, I will provide an update of our on-site businesses and results for Air Serv. Tracy will comment on the company's operational results for Building & Energy Solutions, as well as our sales and marketing initiatives. I will then conclude our prepared remarks with an update on guidance for fiscal 2013. There's a slide presentation that accompanies today's call. You may access this presentation now by going to our website at www.abm.com, and under the tab, Investors, you will see the Event and Presentations tab. Today's presentation will be the second listed. Sarah?
Sarah Hlavinka McConnell: Thank you, Henrik. Please turn to Slide 2 of the presentation. Before we begin, I need to tell you that our presentation today contains predictions, estimates and other forward-looking statements. Our use of the words estimate, expect and similar expressions are intended to identify these statements. These statements represent our current judgment of what the future holds. While we believe it to be reasonable, these statements are just subject to risks and uncertainties that could cause our actual results to differ materially. These factors are described in the slide that accompany this presentation. During the course of this presentation, certain non-GAAP financial information will be presented. A reconciliation of those numbers to GAAP financial measures is available at the end of the presentation and on the company's website, under the Investors tab.
Henrik C. Slipsager: Thank you, Sarah. Now please turn to Slide 4 for an overview of our second quarter. We continue to be encouraged by our operating results, starting with $1.17 billion in revenues, a record for the second quarter and up 11% from the same period last year, primarily due to the 3 businesses we acquired in November and organic growth in our Janitorial, Facility Services and Security segments. Adjusted income from continuing operations per diluted share was up 20%, and net income was up 65% due to a number of factors Jim will review. Adjusted EBITDA was up over 28% to $52 million, a record for the second quarter. As we discussed in details at our analyst/investor briefing on March 6, we have realigned our operational structure to improve long-term growth prospects and generate additional cost synergies. I'm pleased with the progress we are making with our on-site businesses and in our sales and marketing initiatives. The integration of our recent acquisitions is progressing very well, and the contribution made by Air Serv are above our initial expectations. With a strong quarter of cash flow, we reduced outstanding debt by $39 million. And we continue to reward our shareholders, announced yesterday our quarterly cash dividend of $0.15 per common share. This marked our 189th consecutive dividend. I would like to turn over the call to Jim Lusk for our financial review of our second quarter. Jim?
James S. Lusk: Thank you, Henrik, and good morning, everyone. Turning to Slide 5. Revenues of $1.17 billion for the second quarter were up 11% compared to the prior year. As Henrik mentioned, this was due to continued sales contributions from our November acquisitions, and organic growth of approximately 2% on a consolidated basis. Excluding the Government business, organic growth was 2.8% compared to the second quarter of 2012. In addition, I want to highlight that our Janitorial operations achieved organic revenue growth of 2.7%, which is the first time since 2008 this segment has been over 2%. Gross margins for the 2013 second quarter were 10.7%, an increase of 40 basis points from 10.3% in the prior year period. The increase in gross margin is primarily a result of decreased operating costs from lower payroll expenses of $3.8 million associated with 1 less workday, which contributed 32 basis points. SG&A expense for the second quarter decreased $0.7 million to $84.5 million as a result of lower legal expense of $6.5 million, partially offset by an increase of $4.5 million from acquisitions. Amortization of intangible assets for the second quarter increased $2 million to $7.3 million. The increase was primarily related to intangible asset amortization expense from the November acquisitions. Interest expense increased $0.6 million to $3 million, from $2.4 million in the 2012 second quarter. The increase was from higher average borrowings to fund the November acquisitions. The average outstanding balance on the company's line of credit was $425.9 million during the quarter compared to an average balance of $300.1 million in the prior year ago quarter. During the second quarter, we entered into swap agreements to fix the interest rates in a portion of our outstanding borrowings over the next 3 years. Our effective tax rate on income from continuing operations for the second quarter of 2013 was 39.2% compared to 33.3% in the prior year period. We continue to expect our effective tax rate for fiscal 2013 to be in the range of 36% to 38%, which is higher than our fiscal 2012 effective tax rate of 32.3%. Net income from continuing operations for the second quarter was up $7.6 million or 65% compared to the prior year. And total benefit of $5.6 million after tax was from lower payroll tax expenses in Janitorial, contributions from acquisitions, net new business and the absence of $3.2 million in legal settlements. This was partially offset by higher income tax expense of $1.9 million as a result of a nearly 600 basis point increase in the tax rate compared to the prior year quarter. Adjusted EBITDA, which excludes items impacting comparability, was $52 million for the 2013 second quarter, up $11.5 million or 28.4% year-over-year. This is the first time adjusted EBITDA has surpassed the $50 million threshold for a second quarter. Regarding year-to-date financial results, I'd like to focus on adjusted income from operations and adjusted EBITDA. Both measurements demonstrate the improvement we are seeing in our fundamental business trends developing in our operations. Adjusted income from continuing operations for the 6 months ended April 30 was $34.9 million, up 24.6%, while adjusted EBITDA was $90.6 million, up 18.6%. We expect to continue benefiting from improved growth in revenue, with the second half of the year results being sequentially better as recently won jobs are fully ramped up in the fourth quarter. Now turning to Slide 6. Days sales outstanding at quarter-end were 50 days, down 2 days on a sequential basis and flat year-over-year. Cash generated from operating activities for the quarter ended April 30, 2013 was $49.3 million, up $5.8 million compared to the same period in fiscal 2012. Turning to insurance. Total insurance claim liabilities at April 30, 2013 were $350.7 million compared to $343.8 million at the end of fiscal 2012. Self-insurance claims paid during the quarter were $23.1 million compared to $18.5 million for the second quarter of 2012. As is customary practice, in the third quarter, with the assistance of an independent external third party, we will conduct an actuarial review of the ultimate cost of self-insurance reserves. I would now like to turn the call back to Henrik.
Henrik C. Slipsager: Thank you, Jim. Please go to Slide 7 and 8. I will now provide some operational highlights of our on-site services for the second quarter and Air Serv before turning the call over to Tracy for an update on Building & Energy Solutions. Janitorial revenues increased 2.7% compared to the same quarter of 2012, due to an improvement in new business and a continued focus on client retention. I'm pleased to see organic growth exceed the 2% level, as we are benefiting from an improvement in sales across many of our regions and in certain verticals. In particular, the South Central region achieved growth in the high single-digit. Revenues from tag work for the second quarter was up $1.4 million or approximately 4% on a year-over-year basis. Operating profit was up nearly 11%, primarily related to lower payroll expenses, as the company benefited by $3.8 million from 1 less workday. Please note, going forward, workdays on a year-over-year basis will be identical for the fiscal -- for the next 6 fiscal quarters. Looking at client retention, best viewed on a year-by-year basis, we achieved approximately 97%. We continue to see very good sales activity, and we expect to have continued growth in many of our verticals. Our pipeline of proven business is also stronger than it's been in recent years, and I'm hopeful that the momentum in the operating environment continues as we progress through the remainder of fiscal '13. Turning to Facility Services. Revenue were up 8.4% compared to the same quarter of 2012, due to increased scope of business from existing clients and new jobs. Operating profit was strong, with an increase of 39.4% from an improved mix of jobs, which contributed to a 93 basis point increase in operating margin to 4.2%. We continue to have a solid pipeline on the first quarter call. We believe Facility Services is well-positioned for fiscal -- for a good fiscal '13. The Parking business experienced another quarter of revenues that were essentially flat compared to 2012, as new business was offset by termination of certain unprofitable contracts and a reduction in scope of work for existing lease locations. Operating profit was flat at $6.1 million. I'm anticipating organic growth, though, to return in the third quarter -- during the fourth quarter and increased operating profit compared to fiscal 2012. This is based upon jobs recently won and a solid sales pipeline. Security continues to post year-over-year gains in its top and bottom lines as the segment benefits from new business and effective cost control measures. Revenues were up 3% to $91.5 million, while operating profit was up over 100% to $2.1 million. Small numbers compared to the other businesses, but I'm pleased with the progress the Security team has made in turning this business around. Before discussing Air Serv, I want to give an update on some of the initiatives we discussed at our analyst/investor briefing in March. During the second quarter, we continued to make good progress towards our 2013 goals through the on-site businesses. Our effort to rebrand and realign the businesses to better capture market opportunities and leverage our vertical expertise showing tangible results both in financial performance and in terms of our competitive position, especially in the South Central region. We continue to consolidate operations by appropriate, and develop methods to reduce operational cost, which will generate savings consistent with the numbers we have provided. Recently, we have started the process of reorganizing our Northeastern and Midwest markets. In addition, I'm pleased with the level of collaboration among the different services comprising the whole organization. This is a critical element in generating sustained growth in the years to come. Moving to our new segment here, Other. As noted on Slide 7 and 8, it's comprised of the Air Serv business that was acquired in November. This segment generated $79.8 million of revenues and $2.9 million of operating profit, both of which was exceeded -- both of which exceeded our expectations for the second quarter. The operating profit includes amortization expenses of $1.6 million and depreciation expenses of $1.5 million. We continue to be very excited about the opportunity in the aviation industry and the ability to leverage our sales with Air Serv. We will be starting on July 1 the Ambassador Program at Heathrow Airport, a job that will contribute about $11 million annually in sales. With that, I will now turn the call to Tracy.
Tracy K. Price: Thank you, Henrik. Continuing on Slide 7 and 8, I will provide an update on our Building & Energy Solutions segment, which includes ABES, Government Services and our recent acquisition of HHA Services. Revenues increased over $7 million or 8.4% to $91.5 million, as we benefited from the acquisitions of HHA and Calvert-Jones and organic growth in our ABES business. Combined, our 2 acquisitions contributed $17.9 million to the revenue for the quarter. Sales for our Government operations year-over-year was approximately $32 million, down 27%, while revenue from ABES was $50.4 million. We've recently won a number of significant contracts, including 2 of the largest energy jobs in our history. I'm very pleased that our signed contract backlog for energy-related projects is at record levels, exceeding $35 million. This is up over $20 million compared to the prior-year period. In addition, business sold year-to-date for ABES is 220% higher than the comparable period for fiscal 2012. While some of this has already been converted to revenue, our expectation is for additional conversions and continued sales trends to contribute to organic growth in the second half of the year, with the fourth quarter benefiting most as projects ramp up, along with seasonally warmer temperatures, which benefits our HVAC business. I also want to highlight that during the quarter, our Government group entered into a joint venture with Building Energy, an Italian based independent power producer, significantly expanding our solar and distributed energy capabilities in large-scale commercial and utility scale solar power markets. And we will be executing our first contract later this week. Moving to operating profit. In the second quarter, we experienced slightly higher sales costs and an increase in amortization expenses, which kept operating profit essentially flat at $2.5 million year-over-year. We continue to make good progress integrating the HHA acquisition and are pleased with their strong pipeline of new business and client retention rate, both of which are exceeding initial expectations. Turning to Slide 9, I want to mention a couple of the sales and marketing highlights that are in addition to the solar joint venture. In April, we announced ABM Building Services was selected by Orange County, Virginia public schools to implement division-wide energy and infrastructure upgrades. This project, the third largest won by the ABES team, along with previous announced Wright State, our largest deal ever, are reasons why the backlog is so strong. We continue making good progress on our sales initiative and in particular, are pleased with the initial results of our Solve One More program. With Solve One More, we're encouraging employees to learn more about ABM service offerings so they can tell clients about our capabilities and help address their facility challenges. When a client needs a solution, the employee enters or calls in the lead to our Solve One More portal, which then flows to the appropriate local sales resource. We're about 3 months into the program and today, we have over 450 Solve One More leads. More importantly, we've closed approximately 50 new contracts, generating more than $5 million in sales while incurring no additional SG&A. A very solid start, and it's great to see the level of enthusiasm and collaboration taking place at the point-of-service level company-wide. And with that, I'll turn the call back to Henrik.
Henrik C. Slipsager: Thanks, Tracy. I would like to add that our sales momentum and sales collaboration is really going well. It's probably the best I've seen in all my years at ABM. In addition, I'm very encouraged by the results we're initially seeing from expanding our sales resources and the benefits from unifying under the OneABM brand. Please turn to Slide 11 for a review of our financial guidance for '13. Based on year-to-date performance and current outlook, the company is raising guidance for fiscal 2013 to $1.21 -- between $1.21 to $1.31 for income from continuing operations per diluted share, and $1.40 to $1.50 for adjusted income from continuing operations per diluted share. Annual depreciation and amortization expense, because of the acquisitions made in November, is still expected to increase approximately $60 million compared to fiscal 2012. And interest expenses is anticipated to be approximately $50 million. And as Jim said, we continue to anticipate an effective tax rate of 36% to 38%, up from 32.3% in fiscal 2012. At this time, we would like to open the call for questions. Operator, please?
Operator: [Operator Instructions] Our first question comes from Joe Box of KeyBanc Capital Markets.
Joe Box - KeyBanc Capital Markets Inc., Research Division: A question for you on the growth rates in your Janitorial business. Can you maybe just give us a sense of how much that 2.7% growth is stemming from improvement in the end markets as opposed to maybe your integrated approach, or just share gains?
Henrik C. Slipsager: It's very tough to tell -- to say if you've got a job because the margin is improving or not. I really can't do that. But I can tell you that our tag work is up $1.4 million, which doesn't appear to be that much, but due to the profitability of tag work, it's pretty important for us to see that trend. And I think we can say that $1.4 million of tag work is somewhat related to the improved economy. The rest of the growth, basically, we're seeing nice growth everywhere, and I'm not going to single anybody out except the South Central, which had -- which really had a great quarter. And we expect great things from the Janitorial group for the remainder of the year as well.
Joe Box - KeyBanc Capital Markets Inc., Research Division: Excellent. And obviously, you guys are really early in the restructuring program, and I get it that the savings is basically going to be redeployed this year. But since you've at least restructured Houston or the South Central market, can you maybe talk about what some of the primary pockets are that you're seeing savings in now, whether it's labor or rent expense? And then maybe how some of these savings are coming in versus your expectations?
Henrik C. Slipsager: Right. First of all, the savings are all slightly above our expectations, so let's put that aside. And we expect that to continue for the rest of our programs, so we're not concerned about our expectation in the cost savings. The cost savings, in the beginning, I think we have only 21 people, so it's not a dramatic change. But some of the benefits we expect to receive later on is savings of lease expenses, where the groups are moving together. So it's a combination of lease expenses and labor, if you want me to generalize. But we have started with the individuals and then now moving to the lease expenses.
Joe Box - KeyBanc Capital Markets Inc., Research Division: Changing gears a bit, Henrik, in your earnings release, you noted that sequential improvement should happen in the back half, and yet you called out 4Q. I guess, why did you call out 4Q? And should there be anything that we should be prepared for in 3Q? And is it just a function of progress?
Henrik C. Slipsager: Well, the -- it's a very good question. And the reason I'm calling out 4Q is exactly to make sure that people are aware of the major improvement expected for the year is associated with a number of major jump starts we're seeing in the third quarter. In our business, when you have job startups, expenses associated with that particular startup, and we do expect the profit from those new jobs will be generated in the fourth quarter and not the third quarter.
Joe Box - KeyBanc Capital Markets Inc., Research Division: Great, that's helpful. Last question, and then I'll turn it over. Obviously, you guys have 2 quarters of Air Serv under your belt now. Can you maybe just give us a better sense on where revenues could shake out at for the full year? I understand that you've won some new contracts.
Henrik C. Slipsager: Well, I would probably -- well, let me think about that. I would say revenue for the full year would probably be in the $160 million to $170 million level because the major startup we have in Air Serv is July 1 in Heathrow, which is -- happens to be a very exciting contract, close to $1 million per month. But that will only be around 4 months of revenue for that particular business. So if we say we'll do around $80 million for the first 2 quarters of, say, $160 million to $170 million -- I'm sorry, I'm sorry, second quarter -- third quarter was that number.
Operator: Our next question comes from David Gold of Sidoti.
David Gold - Sidoti & Company, LLC: Just before -- I guess, Henrik, can you just go over what you just said. I'm -- I was just slightly confused about the $80 million number you just threw out.
Henrik C. Slipsager: Because I didn't say the right thing. The expected revenue for the last 2 quarters, the remainder of the year, is between $160 million and $170 million. So for the full year, you're talking about $320 million to $330 million.
David Gold - Sidoti & Company, LLC: Got you, yes. So just really a couple of follow-ups in there. I was curious, I guess, in a few of the different lines in a few different times, you spoke about your new job wins and some of them potentially significant and many of them ramping up in the second half. Is it possible to give us a sense of what type of revenue we may be looking at in the second half coming from these job wins?
Henrik C. Slipsager: I would say all in all, with all in, we're probably starting up annualized businesses of between $70 million and $100 million for the second half of this year. We have -- the reason I'm giving you the range here is some of the major startups could include more or less work. But of businesses that basically hasn't started yet, we're talking about additional $70 million to $100 million annually, not the second half.
David Gold - Sidoti & Company, LLC: Okay, perfect. And the bias of that $70 million to $100 million, is it more towards Janitorial or sort of across the board or -- I know we have some Air Serv...
Henrik C. Slipsager: It is across the board. We've been very successful in our ABM Health part, where the old Linc health, as a matter of fact, startup was rewarded $1 million a month business. We've been -- as you saw the ambassador contract in the Air Serv, we've got some school systems in that vertical. And then we were very successful in a major contract with an assisted living group. So it's a little all over, which makes me pretty happy because I'll be more concerned if it was just one job in one area. And as Tracy talked about earlier, the energy jobs are really going to step in, in the second half of this year. We started a major job in the second quarter, but the third and fourth quarter is going to be ramping up.
David Gold - Sidoti & Company, LLC: Got you. And with that, I know you commented that the fourth quarter, we would see profit contribution; third quarter, we could have some costs. Would -- basically, in the third quarter, on the startup costs, could we see that being, let's say, detrimental to sort of core earnings, or is it more just we wouldn't see profitability from newer contracts?
Henrik C. Slipsager: Again, that's a good question. The reason I'm talking about the third quarter is, we really don't expect to see any profits from those particular jobs in the third quarter. We expect the profits to offset the startup costs. So the profit from those particular jobs will be seen in the fourth quarter.
David Gold - Sidoti & Company, LLC: Perfect, perfect. And then just lastly, a little hard to put your finger on, I know. Basically, when we look through the release and your commentary and we talk about a few factors with project wins, we have the economy working with us and presumably some other help, when you think about the business, where we sit now and based on -- you have a better view than I do, looking at all the different verticals, is it as simple as market share gains right now on the newer contracts? Or do you think you are getting a little bit of help from the economy?
Henrik C. Slipsager: I still think the primary reason for us to look at the world a little differently than we've done in the past is related to our reorganization and focus on growth, and have the internal structure in place to facilitate growth and maintain growth. I clearly believe that this environment is much better to deal in and actually is helpful as well. But I also can tell you, we didn't do what we did with the re-org and refocus and rebranding, I don't think the growth rates that we're looking at right now and if -- internal management here, I think, feels that hopefully we're in this for the long run and we're not even in the first phase yet. The initial responses on our re-org has been very, very good and very positive, including the reaction from clients.
Operator: Our next question comes from Andrew Wittmann of Baird.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: So I might have missed some of the numbers in Tracy's prepared remarks on the BES segment. Did I hear that the Government business was down? Can you just quantify that again? And can you talk about just kind of the outlook for Government business from here?
Henrik C. Slipsager: I have the numbers here on Government business. And for the quarter, the sales were down pretty dramatic by around $12 million, from $44 million to around $32 million. Government group has done a tremendous job in offsetting a lot of the costs, a lot of the lack of sales, so profit was only down around $600,000 for the quarter. Tracy, why don't you talk about the outlook?
Tracy K. Price: Okay, sure. I think as we've talked about in previous quarters, it's basically been the story of uncertainty followed by sequestration, followed by departures from Iraq, et cetera. And I think the good news on our front is that we have diversified that business into some other areas. The joint venture with Building Energy looks very promising. We're going to be signing some of our initial contracts very shortly. But we're also seeing activity levels in that business that we have not seen for quite some time. So our proposal activity is probably 3x what we've seen in recent quarters. And provided that traditional close rates hold, I think we're a little more confident that, that business is going to at least maintain where they're at for plan for the year.
Henrik C. Slipsager: And I'd like to just add one thing. Government sales right now represents approximately 3% of our overall revenue.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: Yes. And so as you look at the segment as a whole, as you kind of move in the back-end of the year, just kind of recognizing that there's some new work to fund up on the engineering front, does this -- does the top line in that segment get sequentially better, recognizing that -- it sounds like some of the government headwinds are probably going to continue at least for another couple of quarters? Just trying to think about how the pluses and minus add up to the segment.
Tracy K. Price: Yes, I would say that the top line is going to continue along the line that it is. However, we do have 4, 5 different contract opportunities that could dramatically impact that. But given what's happened over the past couple of years, we're not planning for it. But I believe that we've got enough different opportunities to redeem the profit number that we're reasonably saying we're under the belief that we can hit that. But we could get some nice contract wins over the next 6 months. But given the amount of uncertainty that we've faced in the past, it's a little hard to predict that.
David Gold - Sidoti & Company, LLC: Yes, okay. And then just kind of stepping back and looking at the total company, adjusted for the day and the acquisitions, EBITDA was up about 1% for the quarter. Revenue, a little bit better than that. Henrik, with the actions that you're taking and the restructuring, do you expect that we should see some positive operating leverage in the second half of the year? Or do you think it will be kind of more flattish or slightly negative as we've seen here?
Henrik C. Slipsager: I think we're looking at the second half of the year, I hope it came across, it's pretty positive, with the wins we have already in place. And overall, it's very difficult for me to look at anything negative right now. I think we're in the right place at the right time. And third and fourth quarter, I'm really looking forward to.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: Okay. So then as you kind of look at the guidance and what's implied in the guidance, obviously, you took the number up in the quarter. Is there a view today that's different than the last guidance on the top line in terms of, I guess, organic growth rates that are maybe a little bit better today than what you thought before just recognizing -- sounds like you've got a couple more contracts in hand? Or kind of what are the bigger drivers as you think about what happened with the guidance here?
Henrik C. Slipsager: Well, I think the bigger drivers are that we did perform a little better than we expected out of the second quarter, first of all. Second of all, we are looking at not only pipeline of business; we're looking at startups, and we're looking at signed contracts where the businesses have been sold and not hopefully will be sold or waiting for a startup date. So I -- my forecast is based upon the facts we have in front of us and not a hopeful, or a wish that we could sell some more contracts before the end of the year.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: That's what we like to hear. And the final question, maybe just on the acquisition. At the Analyst Day, Henrik, you kind of suggest that -- obviously, a very busy late last year, late this fiscal year, some of the new platforms that you rolled in. Kind of sounded like it probably slowed down a little bit in the near-term. Is that still a fair characterization as you look at the business here today? Or has there been any change in the -- in your view on acquisitions at least for the near- to intermediate-term?
Henrik C. Slipsager: I think acquisitions will always be somewhat opportunity driven, at least when you look at companies like us. We have capacity levels up to $140 million to $150 million, so we could do more acquisitions because our cash flow is still very strong. But with the organic growth, with the re-org and all the stuff that's going on, we have, in my opinion, enough on the plate right now, with the exception that if a great opportunity comes by, we will of course look at it. But with the growth potentials we see in our pipeline and the activity level we have both with the re-org and startups, they have to be a very good acquisition before I would consider it.
Operator: Our next question comes from Michael Gallo of CL King.
Michael W. Gallo - CL King & Associates, Inc., Research Division: Most of my questions have been answered. A couple of questions for Jim. When you look at the spread right now between GAAP and reported operating earnings, obviously, it looks like there's a pretty big spread in the back half of the year. So is that just charges on the restructuring at this point, or is it just timing? Because it didn't look like you had that much here in the first half. And help us just reconcile out of what remains in the back half, how much you expect the cash-cost of that to be.
James S. Lusk: Yes, I think the cash piece of that will be relatively small. There'll be some restructuring. We've dealt with some of the higher levels of management. There'll probably be some real estate, but the cash piece will be small. But the bigger piece is really a placeholder for what will or will not happen on our actuary report for insurance, which will be noncash. So that's -- that will be the bulk of what's in there right now. So the cash piece should be relatively small.
Michael W. Gallo - CL King & Associates, Inc., Research Division: Okay. So that's the bulk of it at this point, and likely, that will occur in the third quarter?
James S. Lusk: Yes, at the end of the third quarter and there'll probably be some in the fourth. The other potential cash, which won't be a lot either, will be the continue of our rebranding.
Michael W. Kim - Imperial Capital, LLC, Research Division: All right, okay. Second question, Jim, on, I think, you mentioned you plan to fix some of the debt for 3 years. I was wondering, on the interest rate swap, how much you plan to fix and what you expect that will cost you in incremental interest expense.
James S. Lusk: I mean, right now, we have about half of our outstanding debt fixed in between like 2.2% to 2.5%. If you look at our other comprehensive income in the Q, when it goes out, you'll see those as slight negative before. I can tell you right now it's a slight positive, so the swaps are really working for us. So I think we -- I'll take luck any day, I'll call it great planning by our treasurer, Anthony Scaglione. But I think we fixed it at the right time, and right now, kind of life to date, I see a net benefit on our interest expense. So it's going to go up and down, but I think the long rates are starting to edge up a little bit. And maybe that is a sign of the economy strengthening, we'll see. But I don't think it's going to be much benefit on interest because I had a little hurt in the third quarter, I see the benefit already now. So I'd say the swap is doing what it's supposed to do.
Michael W. Gallo - CL King & Associates, Inc., Research Division: Okay. And then just final question. Facility Services, obviously, good improvement there over the last 2 quarters. Some of that, probably some pent-up demand after what was a pretty soft second half of last year. So I was wondering as you look forward and I guess some of this was asked around, why not see a bigger pickup in the third quarter as opposed to the fourth quarter. Do you see it kind of leveling off in this range based on what you see in bookings or would you expect to just continue to see a build on a sequential basis as you kind of go through the year?
Henrik C. Slipsager: I see it continue to build pretty much on all our services. If you noticed, I also had a comment on Parking, which has essentially been flat. Due to some recent wins, we're looking at organic growth in Parking as well. So I look at this and hopefully, I'm right. I look at this as the beginning of something very good and exciting, really generating more growth than we've seen in the past, and that includes Facility Services as well.
Operator: Our next question comes from Adam Thalhimer of BB&T Capital Markets.
Adam R. Thalhimer - BB&T Capital Markets, Research Division: Henrik, on the -- in the Janitorial business, your margin -- your operating margin was 5.7% last year. Now that you're seeing some nice organic growth there, where do you think margins in that segment can go?
Henrik C. Slipsager: I think on the margin side, you might -- you will not see great improvement on a short-term basis. The improvement can happen if we can maintain this growth over longer period of time. But short-term, 5.5% to 6% profit in the Janitorial business is pretty much as good as it comes in this country. But if we can keep growing like we're growing right now, it could sneak up to around 6%, but not on a short-term basis; I'm talking about 2 or 3 years.
Adam R. Thalhimer - BB&T Capital Markets, Research Division: And what do you think your share of -- what would you peg your market share at nationally in Janitorial?
Henrik C. Slipsager: Maybe 10%. It depends on how you define the market. But no matter how I define it, it always seems to come back to 10%.
Adam R. Thalhimer - BB&T Capital Markets, Research Division: And is that as competitive as it's ever been, or because there's some organic growth in the industry is the competition a little less?
Henrik C. Slipsager: It's -- if you go to our operators, there will never be a time where they say it's not worse than last year. So they always believe it's much more competitive. I think I've been in this business 180 years now, it's been the same argument year-over-year. And I think the competitive environment is pretty much the same. There will be pockets where it's just unreasonable and there will be areas where it's -- there's a greater opportunity. But the key thing for us has been to change the focus a little bit, and one is to focus on the verticals. And the verticals are already experiencing greater growth than the rest of the company, and that will include Janitorial. And the referral program that Tracy talked about has already increased sales at levels we haven't seen as part of referrals before. So we have some different pockets that hopefully are slightly more profitable than the rest of the business. So I know it's a long-winded answer, but you have to remember Janitorial Services is probably $2.3 billion or close to $2.4 billion, so it takes a little to move that needle, it's a big needle. The good news, though, if you want to look long-term is, if the unemployment continues to go down as we've seen over the last couple of quarters, that might have a positive impact on SUI maybe not next year but the year after that. So at least, you won't hear me talk about SUI the first and second quarter every year, but that's where the economy really can help us, and SUI rates will have to have a direct impact on the percentage of profit from that division.
Adam R. Thalhimer - BB&T Capital Markets, Research Division: And just as a reminder, I mean, where -- for 2013, where were you on SUI costs in the first half vis-à-vis 2012?
Henrik C. Slipsager: I'm so happy I reminded you. For the first time, we are slightly under plan. We actually have seen rates a little lower than we did expect, which could be -- it is part of some of the improvements in our results. Year-over-year, I don't have that number right in front of me because when you do year-over-year, you also have to adjust for new business so you can get a real feel for it because, of course, it's included in every job. So I will have to come back to you on that later.
Adam R. Thalhimer - BB&T Capital Markets, Research Division: And back on the margins, you said a good range for Janitorial, 5.5% to 6%. Some of the other verticals, as they get larger, do they have a greater margin potential than Janitorial?
Henrik C. Slipsager: Yes, for sure. The health care, for sure, when we get -- we have now the infrastructure to grow on the health care side, and the margin opportunity is much greater than the single service opportunities. If you talk about margins, if Tracy and his team continues to be successful on the energy side, you're talking about rate -- profit numbers of 30-plus percent. So we're very excited even though it's a small million dollar growth you're talking about in Tracy's business there, it has a sizable major impact on our bottom line. So the verticals in general, when they get to the right size will have a higher profitability than the single service will. While the Janitorial, Security and even Parking will be very difficult to move in a radical way.
Adam R. Thalhimer - BB&T Capital Markets, Research Division: Okay. And finally, just on SG&A, you had some good -- actually great leverage there in the quarter, down to 7.2% of revenue. Is that a good run rate, this kind of 7% to 7.5% range for the next couple of quarters?
Henrik C. Slipsager: I think so. It's -- we're slightly below our expectations, and that has a lot to do with we have had difficulties finding, especially in the IT side, employ -- finding people. It's hard to find people in that particular business. But I think you can expect it to be between 7%, 7.5% on a long-term basis.
Operator: [Operator Instructions] Our next question comes from Dan Dolev of Jefferies.
Dan Dolev - Jefferies & Company, Inc., Research Division: Just very quick question again on the Parking segment. Everything seems to be improving and getting better. The only thing that seems to be lagging is Parking, even though the comps have been much easier this quarter. What needs to happen for this segment to start to shine again? Is it like of scale that's -- is there anything structural there, or is it just those contracts that you mentioned?
Henrik C. Slipsager: Well, it's -- when you're in the business like we are, a lot of things -- a lot of it has to do with timing. And with Parking, their timing happened to be this third and fourth quarter of this year. They picked up a number of very exciting jobs, and then their pipeline as well is very, very, very strong. So I would say it's more timing issue more than anything else. You will also see with Parking, we're somewhat dependent on third-party and customer reactions. If customers want to have cutbacks in jobs where we're getting reimbursed on a dollar-by-dollar basis, that will impact the revenue. I am, as a matter of fact, very pleased with the fact that they have been able to maintain their profit level for this particular quarter, knowing the effort they put into the long-term growth of the Parking division. I don't think you have anything to be concerned about that.
Operator: Our next question comes from Michael Kim with Imperial Capital.
Michael W. Kim - Imperial Capital, LLC, Research Division: Just going back to Air Serv. Just given kind of your outlook for the second half, and it sounds like you're seeing some stronger activity and momentum there. How much of that is driven by more global opportunities? And obviously, Glasgow should be a nice ramp, but are you seeing more opportunity to expand outside the U.S.?
Henrik C. Slipsager: Yes, absolutely. We started -- in this quarter, we started a reasonable size job in Doha Airport, Heathrow. We have a very impressive operations in Heathrow, something I'm very proud of and was part of the Air Serv deal. I think the ambassador contract is just the beginning. In the quarter -- in the first quarter, we picked up Glasgow Airport, which also is very exciting. The possibility of cross-selling in our international segment is unlimited. And I can tell you, just -- and that's the funny part, it's a relatively small operation. But I can actually say, with the jobs we have closed, we're looking at least at a 20%, 30% growth in our U.K. operations in aviation next year, simply based upon startups and [indiscernible]. So I'm very comfortable with that. So no more sales. We are more than 20%. I don't think so many people will say about that their European operations.
Michael W. Kim - Imperial Capital, LLC, Research Division: And how do you feel about the earnings accretion, do you feel stronger about the ability for Air Serv to drive a little bit more accretion than what you had been planning at the time of the acquisition?
Henrik C. Slipsager: The growth potential, for sure, is as great as we had hoped for. The biggest -- it's no surprise, but the biggest intangible that you get when you make the right acquisition is the quality of the people. And we have been very, very, very lucky in the quality of the people and the quality of the business that we have received and bought. And I'm proud to say that everybody that was in top management with Air Serv is still with us, and they're actually running the business, and they're doing it very successfully. Lastly but not least, Air Serv has shown the ability that I haven't seen to this level before, and that is, they've reached out to Tracy's group and some of the other groups to get help. And they see the opportunity of growing further into the aviation business and services they never provided before, which opens up tons of opportunity that's not in our initial numbers because they're pretty conservative, but actually, if you look long-term, should create tremendous growth in that business.
Michael W. Kim - Imperial Capital, LLC, Research Division: Great. And then turning to Building & Energy Solutions, you called out a pretty nice increase in proposal activity. Where is that being driven from? And are you also seeing some larger opportunities in the $25 million-plus range versus sort of the $10 million, $15 million-type range?
Tracy K. Price: Well, I think the reality is, we've gone from typically hunting in the $2 million to $5 million range to be willing to take on larger projects. We've also pretty significantly ramped up the headcount in the Energy Services business across the company. And have been bundling services, which gives us a higher revenue threshold, as well as better overall gross margin. So I think it's a combination of getting better coverage across the country in the markets that we intended to be able to open up in, and then bundling services amongst the groups. That's paying off.
Operator: And with no further questions at this time, I would like to turn the conference back over to Mr. Slipsager for closing remarks.
Henrik C. Slipsager: Well, thank you very much for listening in on our second quarter call. And hopefully, we can continue our momentum. And looking forward to talk to all of you after the third quarter. Thank you.
Operator: Ladies and gentlemen, this does conclude today's conference. You may now disconnect. And have a wonderful day.